Operator: Good morning. Thank you for attending today's First Interstate BancSystem, Inc. Third Quarter Earnings Conference Call. My name is Bethany, and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call, with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Lisa Slyter-Bray with First Interstate BancSystem. Please go ahead.
Lisa Slyter-Bray: Thanks, Bethany. Good morning. Thank you for joining us for our Third Quarter Earnings Conference Call. As we begin, please note that the information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those expressed by those statements. . I'd like to direct all listeners to read the cautionary note regarding forward-looking statements contained in our most recent annual report on Form 10-K filed with the SEC and in our earnings release, as well as the risk factors identified in the annual report and our most recent periodic reports filed with the SEC. Relevant factors that could cause actual results to differ materially from any forward-looking statements are included in the earnings release and in our SEC filings. The company does not undertake to update any of the forward-looking statements made today. A copy of our earnings release, which contains non-GAAP financial measures, is available on our website at fibk.com. Information regarding our use of the non-GAAP financial measures may be found in the body of the earnings release, and a reconciliation to their mostly directly comparable GAAP financial measures is included at the end of the earnings release for your reference. Joining us from management this morning are Kevin Riley, our Chief Executive Officer; and Marcy Mutch, our Chief Financial Officer; along with other members of our management team. At this time, I'll turn the call over to Kevin Riley. Kevin?
A - Kevin Riley: Thanks, Lisa. Good morning, and thanks again to all of you for joining us on our call today. Again, this quarter, along with our earnings release, we have published an updated investor presentation that has additional disclosures that we believe will be helpful. The presentation can be accessed on our Investor Relations website. And if you have not downloaded a copy yet, I encourage you to do so. I'm going to start off today by providing an overview of the major highlights of the quarter, and then I'll turn the call over to Marcy to provide more details on our financials. During the quarter, we continue to see positive trends in loan growth, margin expansion and asset quality, all of which resulted in a meaningful improvement in our financial performance. We generated net income of $85.7 million or $0.80 per diluted share in the third quarter, which included a $24 million loss on the sale of investment securities as part of some of the repositioning we did in the portfolio, which we will discuss later in the call, another $4 million of acquisition expenses and a litigation related accrual. Excluding these items, the company had a $1.01 in earnings per share and generated a very strong return on total equity of 13.3%. Loan growth was a significant driver of our increased profitability this quarter, with our net contribution from across the footprint resulting in an annualized growth rate of over 10%. The higher levels of growth reflects our ability to capitalize on the healthy demand we are seeing in all of our markets and the funding of prior loan commitments with improved pricing and structure across the portfolio. We are pleased to see net growth coming out of our new markets earlier than we expected, even while working through credit-related headwinds within our acquired portfolio. However, we remain diligent and are keeping our eye on certain portfolios like residential, multifamily and selected types of the consumer lending, along with isolated pockets of our footprint that could be potentially overheating. The back half of 2022 is setting up to be the best banking environment I have seen since joining First Interstate. Our footprint has continued to experience healthy stable economic conditions and our competitors have been less active, allowing us to win deals with the pricing and structure we required to capitalize on the strength of our balance sheet. Against that backdrop, we saw new production yields approaching 5% in the quarter. On the deposit side, during the quarter, we began selectively utilizing our ability to offer higher rates to add and retain profitable long-term relationships without materially impacting our cost of funds. Last quarter, we were willing to let go of high-cost non-relationship deposits, mainly concentrated in municipalities. That said, deposits appearing to be stabilized -- have been stabilizing as attrition has slowed significantly in the month of September. And to the start of the fourth quarter, deposits in October are relatively flat. The combination of active decisioning to position for higher rates through the back half of 2021, a strong acceleration in loan growth and the ability to have excess liquidity, fund high-cost deposit outflows has resulted in our adjusted net interest margin expanding another 46 basis points during the third quarter and is now up 101 basis points over the last three quarters. Grouted in the strong, loyal, low-cost base that serves as a foundation of our franchise and the continued positive repricing of our asset base, we would anticipate further expansion of our adjusted net interest margin into the end of the year. It's worth noting that a lot of the positive momentum we have right now is the result of the successful execution of the integration of Great Western, which has worked out exceptionally well. We're realizing the cost savings we projected and resolving acquired problem loans at a faster pace with lower marks than expected, which is driving growth ahead of plan. I want to give credit to our entire team who has worked hard to make this a smooth integration for both customers and employees, allowing us to begin to capitalizing on the synergies of a much larger institution. While we continue to see healthy economic conditions in our markets and positive trends in asset quality, as always, we are being proactive in managing risk in our portfolio. As a result, we took a charge-off on a single metro office property in the third quarter and moved the credit to held for sale. It should be resolved shortly. This is one of two metro office properties of any size in our portfolio. And at this time, we have no significant concerns with the second property. Outside these two properties, the remainder of office CRE credits are in smaller markets with many occupants in risk recession-resistant industry like medical. These credits continue to perform well and are not being impacted by the work-from-home trends that are creating a long-term concern for the CRE office market. Otherwise, as evidenced by the significant decline in both nonperforming and criticized loans this quarter, the portfolio is performing exceptionally well, and we don't see any signs of any systematic concerns in our book. And with that, I'll turn the call over to Marcy to provide some additional information on the results this quarter.
A - Marcy Mutch: Thanks, Kevin, and good morning, everyone. As I walk through our financial results, unless otherwise noted, all of the prior period comparisons will be with the second quarter of 2022, and I'll begin with our income statement. Our net interest income increased by $27.8 million, primarily due to our strong loan growth and net interest margin expansion. Our reported net interest margin increased 46 basis points from the prior quarter to 3.71%. Excluding purchase accounting accretion and PPP-related income, our adjusted net interest margin also increased 46 basis points from the prior quarter to 3.47%. This was driven by a favorable shift in our earning asset mix and increased yields on loans, investments and cash. As we indicated on our last call, we began raising pricing on deposits during the third quarter, which increased our cost of total funds to 28 basis points, but this was more than offset by the 64 basis point increase on average interest-earning assets. With the continued redeployment of our excess liquidity, on an average basis, loans increased to 61.1% of earning assets in the third quarter, up from 57.9% in the prior quarter. We ended the quarter with a loan-to-deposit ratio of 68%, up from 63.9% in the prior quarter. To help fund our strong loan growth in the third quarter, we added $650 million in overnight FHLB borrowings, which we plan to use as a temporary funding source that can quickly be adjusted based on loan production and deposit flows. Looking ahead, we believe we are well positioned to see continued expansion in our net interest margin due to a number of factors. We anticipate a continued shift in the earning asset mix toward loans in the fourth quarter. New loan production is coming on the books at higher rates and is currently at or above roll-off yields. To the extent there are investment security purchases, they would be accretive to current book yields in today's environment. Otherwise, investment yields will trend higher with the cash flowing off lower-yielding securities into the loan portfolio. Additionally, as you saw in the investor deck, the run rate effect of the mid-September reinvestment of the $500 million treasury sale will be accretive to earnings. And of course, the roughly $5.6 billion of immediately variable rate loans, securities and cash, which is 20% of earning assets at the end of the quarter, will continue to benefit from recent and future Fed rate increases. All of this will more than offset some anticipated increases to funding costs. Although based on trends we've seen to date, we continue to expect our interest-bearing deposit beta to be below 27% that we had in the prior rising interest rate cycle. Our total noninterest income decreased $27 million quarter-over-quarter to $22.9 million, primarily due to the loss on investment securities. On September 1, we sold the $500 million U.S. Treasury note on which we had terminated the swap last quarter. The sale of the note triggered the realization of the previously deferred gain, which netted the loss on the note down to $24.2 million. The proceeds from the sale were reinvested in mid-September at an average yield of 3.89%, which will result in $0.07 of annualized EPS accretion and a 2.5 year earn-back on the loss. Excluding investment securities balances, noninterest income declined $2.9 million from the prior quarter to $47.1 million as an increase in our payment services and swap revenue was offset by further declines in mortgage banking and wealth management. As expected, service charges declined $600,000 from the prior quarter, driven by the run rate impact of our NSF and overdraft changes in the Great Western footprint. Primarily due to the continuation of the unfavorable environment for mortgage, wealth and swap fee income, we have lowered our expectation for noninterest income to be $45 million to $46 million for the fourth quarter, excluding any impact from MSR valuation changes. Moving to total noninterest expense. Exclusive of acquisition and litigation-related expenses, our noninterest expense increased $4.2 million from the prior quarter. While salaries and wages declined in the quarter, efficiencies realized from the Great Western acquisition were partially offset by higher performance-related compensation accruals. Our performance also resulted in an increase of $1 million in our donation expense. Increases in FDIC insurance, fraud losses, IT and advertising expenses were responsible for the rest of the variance. Looking ahead to the fourth quarter, we now expect noninterest expense to be in the range of $63 million to $65 million in the fourth quarter. Approximately 80% of the increased expense outlook from the fourth -- prior quarter is directly tied to performance-related adjustments to expenses for 2022. Moving to the balance sheet. Our loans held for investment increased $446.9 million, excluding PPP loans from the end of the prior quarter with growth in all of our major portfolios, with the exception of ag and commercial. As of September 30, we had only $6 million in PPP loans remaining on our balance sheet. Our investment portfolio decreased $602 million from the end of the prior quarter due to normal cash flow activity and a decline in fair market value. At the end of the quarter, the duration of the investment portfolio was 3.9 years. During the third quarter, we terminated our $200 million forward-starting pay fixed swap, which resulted in an $8.5 million gain that will be accreted into income on a straight-line basis through July 2028. On the liability side, our total deposits decreased $979 million, due mostly to outflows related to municipal deposits and $99 million in deposits related to the Great Western Wealth Management business that we moved off balance sheet, as is customary with our current practice. These outflows occurred mainly in July and August, and over the remainder of the third quarter, our deposit balances remained relatively stable. As Kevin noted earlier, total deposits so far in October are relatively unchanged. Moving to asset quality. Once again, we saw positive trends across the portfolio with declines in nonperforming assets of 19% and a 26% reduction to criticized loans. The decline in criticized loans was largely a result of the year-to-date charge-offs we've taken, which allowed us to restructure and upgrade many of the rated loans added in the Great Western acquisition. We are pleased that the combined asset quality metrics at September 30 are already approaching pre-Great Western levels. Our net charge-offs for the quarter were $12 million or 27 basis points of average loans. The higher level of net charge-offs this quarter was primarily attributable to two credits: one was related to the restructure of an acquired PCD loan that held a specific reserve against it, and the other was related to the resolution of the Metro office property loan that Kevin discussed earlier. Excluding these two credits, we had net recoveries in the third quarter. Strong loan growth and a more conservative economic forecast was partially offset by the improved credit performance, resulting in a provision for credit losses of $8.4 million for the quarter. As always, we're taking a conservative approach with our allowance methodology and the input for our economic forecast reflects a more cautious outlook. While our allowance as a percentage of loans held for investment declined a few basis points to 1.21%, our coverage for nonperforming loans increased to 248% at September 30 compared to 201% at the end of the prior quarter. And finally, during the quarter, we repurchased 3.3 million shares of our common stock at $50.49 per share, which completed our previously announced 5 million share repurchase authorization, even so, our capital levels remained strong at the end of the quarter and continue to exceed our internal policy guidelines. And with that, I'll turn the call back to Kevin.
A - Kevin Riley: Thanks, Marcy. I just want to update some of the numbers that Marcy talked to you, a little bit misspoke. On our forecast for the quarter of noninterest expense, it's going to be in the range of $163 million to $165 million. So with that, I'll wrap up with a few other comments. We expect the continuation of positive trends seen in the third quarter. Loan growth should remain solid into year-end, although likely at a seasonally slower pace than we saw this quarter. The tailwinds to our net interest margin remained and credit quality should continue to improve. The strength of our balance sheet and continued expense control leaves us well positioned to continue generating positive operating leverage and strong financial returns for our shareholders while remaining committed to our conservative through the cycle approach to risk management. While we continue to deliver strong financial performance in the near term, we continue to make targeted investments that will further enhance our ability to generate profitable growth over the long term. We recently added a Chief Specialty Banking Officer, who will oversee our indirect lending, payment services and mortgage banking businesses, including the expansion of these businesses into our newer markets where significant opportunities remain. The efforts currently underway in these areas and across the company are building the foundation to help us realize revenue synergies for the Great Western merger in 2023 and beyond. While the current environment creates some near-term economic uncertainty, the strength of our balance sheet, and our strong profitability profile leaves us feeling comfortable with our ability to manage through a potential period of economic stress should it emerge. And with the strong execution we are seeing from our teams across our footprint, we believe we have never been in a better position to build long-term franchise value for our shareholders. Against that backdrop and with confidence in our financial outlook, we are pleased to announce a $0.06 increase in our quarterly dividend payment, bringing our yield to a robust 4.5% on our current stock price. And so with that, I will open the call up for questions.
Operator: Thank you. [Operator Instructions] Our first question is from the line of Chris McGratty with KBW. Please go ahead.
Chris McGratty: Great. Good morning.
Kevin Riley: Good morning, Chris.
Chris McGratty: Marcy, maybe first question for you. Your margin -- your core margin you referred to of 3.47% in the quarter, I'm interested in, given the speed of rates, kind of where that margin was in the month of September? And also, if you had kind of spot loan in interest-bearing deposit yields?
Marcy Mutch: So, in the month of September, the operating margin, so excluding accretion and PPP income and recoveries, would be at the mid to high 3.50s for September. And then September average loan yields are around 4.6%, again, operating basis, and then interest-bearing deposit costs at about 40 basis points.
Chris McGratty: Okay. Great. Thank you for that. And then I guess assuming the forward -- tough , but assuming the forward curve is right, it would feel like there's a decent path to continued expansion into 2023. So I guess maybe a remark on that, if you could, and ultimately, where you think margins could go in this environment.
Kevin Riley: Yes.
Marcy Mutch: Yes, we're not going to remark on where we think the margin might end up next year, but we agree that assuming the forward curve is right, there's a decent path for expansion. Your math will be as good as ours there, Chris, based on your assumptions.
Chris McGratty: Got it. Thank you for that. And I guess maybe more of a balance sheet mix question. I mean you do have a large investment portfolio and the color in the deck was helpful about what cash flows per month. I presume you're going to be fairly selective in new purchases and just put money into the loan book.
Kevin Riley: Yes.
Marcy Mutch: That's correct.
Chris McGratty: Okay. And then maybe last one, if I could. The jumping off point for expenses into next year, I guess, relative to the guide you gave, and I appreciate the color on the 80% tied to performance. What's left on the cost saves that's not in that number? And then how do we think about just cadence from early '23?
Marcy Mutch: So if you look at the midpoint of that guidance, that’s like $164 million, you can safely back off $2 million to $3 million as part of that 80% that are related to performance objectives. But for the most part its $160 million to $161 million of kind of core run rate expenses going into next year.
Chris McGratty: Okay. So that would be -- the full cost saves would be in that number?
Marcy Mutch: Yes.
Kevin Riley: Yes.
Chris McGratty: Okay. Great. Thank you.
Marcy Mutch: You bet.
Operator: Thank you. Our next question comes from the line of Matthew Clark with Piper Sandler. Please go ahead.
Matthew Clark: Hi. Good morning.
Kevin Riley: Good morning, Matt.
Marcy Mutch: Good morning, Matt.
Matthew Clark: Just rounding out the margin discussion, it looks like you did add about $625 million of borrowings. Were those overnight? If not, what was the term on those and costs? And what's your outlook for borrowings from here?
Marcy Mutch: So they are overnight. And we just -- Matt, those will go up and down based on deposit flows and what rolls off the investment portfolio and goes into loan growth. So again, I don't expect them to go materially different from that quarter-over-quarter.
Matthew Clark: Okay. And then were they added late in the quarter? I can -- I have to double-check the average balance sheet.
Kevin Riley: They started in July.
Marcy Mutch: Yes, they started in July.
Matthew Clark: Okay. Got it. Thank you. And then shifting to the loan growth outlook, it sounds like seasonally slower, but probably stronger than it has historically been in the fourth quarter. Can you speak to the pipeline and what you're seeing and where it's coming from, both from a geographic perspective as well as a competitive perspective?
Kevin Riley: Well, loan growth is strong, and we anticipate that continued pipeline looks great. With regard to geography, it's -- we're getting growth across the whole footprint, a little stronger in the legacy, but the Great Western footprint is picking up speed. And so, we're seeing good production there. What was the last part of your question?
Matthew Clark: Just competitively, is it mostly coming from existing customers or larger banks or regional banks?
Kevin Riley: Well, it's a new existing. Again, it's line usage that's already out there. But I would tell you the competitive environment, as in said in my remarks is that, it's less competitive out there right now. As we saw in the fourth quarter and the third quarter last year, banks were pricing things at ridiculously low levels, and the structures were not that good, and we didn't participate in that type of market. I would say the market today is we're getting the price that we want, and we're getting the structure that we want. And it just seems like there's less competition out there.
Matthew Clark: Okay. And then just last one for me on M&A. I know you wanted to make sure you prove to the market that GW deal -- GWB deal was a success. And obviously, you can see it in the numbers. What's your latest appetite for M&A given the marks on securities and credit these days?
Kevin Riley: So Matt, I should be comfortable that market thinks that this was a good acquisition, that's been well integrated.
Matthew Clark: I don't know you told me.
Kevin Riley: As we said, we continue to need to invest in some areas of the company that we're focused on, like I talked about on some of our different specialty lines. We're focused on making those better so we can get the synergies out of the Great Western footprint. We're continuing to invest in technology to modernize. We're going to invest in some new products and services. So we're going to continue to build the infrastructure for a larger institution. When an acquisition comes about we want to have -- we want to be prepared. I don't know when that's going to happen, but we'd be open probably, like I said a while ago, in 2023 we're hoping that we're in a position to look at something.
Matthew Clark: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Jared Shaw with Wells Fargo. Please go ahead.
Jared Shaw: Hi, everybody. Good morning.
Kevin Riley: Good morning, Jared.
Marcy Mutch: Good morning, Jared.
Jared Shaw: I guess -- shifting over to the allowance ratio, allowance for loans came down this quarter, and I think you mentioned the specific reserve with the GWB charge-off. Where -- as that portfolio seasons, but then also with the broader economic deterioration, where should we be thinking about the allowance level sort of settling out here as a ratio?
Kevin Riley: I think, Jared, right around this level is what you should be considering.
Jared Shaw: Okay. So if we see any loan growth, we'll see that sort of backfill to keep this right around the 121% level?
Kevin Riley: That's correct.
Marcy Mutch: Yes.
Jared Shaw: Okay. Sorry. And then any -- can you -- what's the expectation for accretion income in the fourth quarter?
Marcy Mutch: Jared, that's in the deck, four to five --
Kevin Riley: Page 12.
Marcy Mutch: Page 12 of the deck. You can kind of look at what we've done so far and then kind of back into that number.
Jared Shaw: Okay. And then just as --
Marcy Mutch: Five to six. Jared, it will five to six of scheduled accretion.
Jared Shaw: Got it. Okay. And then as we look at deposits, with the outflows on muni and sort of some of the rightsizing this quarter, should we -- can we expect deposit growth, I guess, from here? And how should we be thinking about that mix of DDA and interest-bearing as we go forward?
Marcy Mutch: So mix should stay pretty much the same. It's almost back kind of to where it was in 2019, maybe a little bit more flowing into CDs because we have a CD special out there. But I wouldn't expect deposit growth into the fourth quarter. Hopefully, they'll just stabilize. Usually, we see runoff. So we could see a little bit of runoff, just seasonal normal runoff. But I wouldn't expect growth into the fourth quarter. And then going back to next year, hopefully, we'll return to kind of normalized trends.
Jared Shaw: Okay. Great. Thanks very much. That’s all I had.
Operator: Thank you. Our next question comes from the line of Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: Thanks. Good morning.
Marcy Mutch: Good morning, Jeff.
Jeff Rulis: A question on the -- on -- I guess, you've sort of addressed the M&A side, but thinking about capital, you finished up the buyback authorization, and we did see the dividend pickup. Any thoughts on additional capital deployment of kind of a priority if we kind of going forward from here?
Kevin Riley: Jeff, we always look at capital, and we had -- as we always had talked about where there's different levers to pull. One, we'd love to use our capital mostly in organic growth first. And then we look at opportunity investments and stuff. But the thing is with regards to share repurchase and dividends, on an ongoing basis we always looked at it and kind of see where we're at. And look at the forward strength of the institution to decide what action that we want to take. So it's an ongoing type, but I'd love to have all our capital that we're generating. We're going to generate a lot. So go into organic loan growth, but I don't think our remaining loan will take all that capital. So we're going to have to have some decision point down the road.
Jeff Rulis: Okay. And if I read you right then, the completion of that buyback doesn't necessarily mean that, that tools on the sideline you may look at reauthorization, just staying flexible. Is that fair?
Kevin Riley: Yes, that's a fair summary.
Jeff Rulis: Okay. Got you. Jumping over to the expenses. I appreciate the kind of settling endpoint at $160 million to $161 million to kind of enter into '23. But I didn't get a clear view of how much cost saves from Great Western, if that's completely complete? And I guess related to that then, just thinking about '23 growth rate for expenses, do you think you're tracking industry trends? Or do you have a little bit of tailwind on Great Western that maybe growth in '23 could be more modest?
Kevin Riley: No, I would say that the cost saves at Great Western are done. The way we do acquisitions, we pretty much get rid of those right away, we don't have a linger on, that doesn't get any better over time. So, all the cost saves that we saw with the acquisition of Great Western are behind us. Now looking forward, the outlook of inflation and where we have to go with wages and stuff is something that we're concerned about. So I would say we'll probably track to industry norms with regard to that. Hopefully, we get inflation under control, and we can keep our expenses from growing too much.
Jeff Rulis: Okay. And one last one on -- just curious as to the two credits that were charged off, it was basically, I think you said the majority of the net charge-offs, do you have the dollar amount on each? And then kind of a follow-on to that is, is there anything else in the portfolio that kind of chunkier credits that you're still looking at addressing? I think, Kevin, you said the other office real estate loan in the metro area is in good shape. But anything else to kind of clean up, if you will, that's on the chunkier side? Thanks.
Kevin Riley: At this point, we're not seeing any more chunky stuff that would come in. There's nothing on the radar at all. So that's kind of behind us. But with regards to the other side, Marcy is you going the question.
Marcy Mutch: Yes. So again, that's on page 10 of the deck, it lines it out, Jeff, that it's $5.7 million for the PCD loan and $6.6 million for the metro office property.
Jeff Rulis: Got it. Thanks. I missed that. That’s all I had. Thank you.
Kevin Riley: Thanks, Jeff.
Marcy Mutch: Awesome. Thanks.
Operator: Thank you. Our next question comes from the line of Andrew Terrell with Stephens. Please go ahead.
Andrew Terrell: Hi. Good morning, Kevin. Good morning, Marcy.
Kevin Riley: Good morning, Andrew.
Marcy Mutch: Good morning, Andrew.
Andrew Terrell: Hi. Most of mine have been asked and addressed already. But maybe if I could just square out the deposits. I guess, you've done a good job in running off some kind of higher beta deposits over the past couple of quarters. Is there any more of that to go? Or do you feel like you're in a good spot as we move forward?
Kevin Riley: Yes. We feel like we're in a good spot. And again, most of these deposit runoffs didn't come out as a legacy, First Interstate portfolio came out of Great Western. And I think that they had some I guess, larger chunkier deposits relationships than we realized. So we look at right now, most of that's behind us. So if something goes out, it's going to be hopefully at a smaller chunk, but we think most of that's behind us.
Andrew Terrell: Okay. And then on the securities portfolio, I appreciate all the color there, any kind of further repositioning efforts that are possible? And then, Marcy, a lot of movement in the bond book this quarter. Can you just help us out with what the yield on the securities portfolio was either spot or in the month of September?
Marcy Mutch: So the yield coming off is about 2.2% going on. It's right around three -- yes. Let me grab that. I know it's in the deck. I just can't remember the number off the top of my head.
Andrew Terrell: I think it was at 3.9%, the spot rate.
Marcy Mutch: Yes, 3.9%. Yes, 3.9%. What was the rest of the question, Andrew?
Kevin Riley: He's talking about repositioning the investment portfolio. We continue to look at is there opportunities to do. But right now, it's -- we're just looking at what's going to happen with the Fed and everything else before we do any major repositioning.
Marcy Mutch: But you should expect maybe some small incremental balance sheet adjustments there.
John Stewart: So Andrew, its John. The average yield on the portfolio on an FTE basis in the month of September was in the mid 260.
Andrew Terrell: Perfect. Very helpful. Okay. Thanks for taking the questions.
Kevin Riley: Thanks, Andrew.
Operator: Thank you. Our next question is a follow-up from the line of Chris McGratty with KBW. Please go ahead.
Chris McGratty: Thanks for follow-up. You see a lot of banks take steps this quarter to take down rate sensitivity. I appreciate what you did. Is there any bigger steps with new swaps or floors or some derivative to lock in some margin?
Kevin Riley: Yes. We're looking at that as balance sheet managers. As I said prior, Chris, is that we're in the process of trying to kind of redo our balance sheet a little bit from being as asset-sensitive as we're in taking some of that sensitivity out of the balance sheet so that rates do fall and we don't lose all the upside that we've already picked up here. So we are repositioning the balance sheet to be less asset sensitive.
Chris McGratty: Okay. Thanks.
Operator: There are no additional s waiting at this time. I would like to pass the conference back to Kevin Riley for any closing remarks.
Kevin Riley: Again, thank you for all your questions. As always, we welcome calls from our investors and analysts. Please reach out to us if you have any follow-ups questions. Again, thanks for tuning in today. Goodbye.
Operator: That concludes the First Interstate BancSystem, Inc. Third Quarter Earnings Conference Call. I hope you all enjoy the rest of your day. You may now disconnect your lines.